Ilkka Ottoila: Good morning and welcome to Nordea's Fourth Quarter and Full Year 2024 Results Presentation. I'm Ilkka Ottoila, the Head of Investor Relations. As usual, we'll start with the presentation by CEO, Frank Vang-Jensen, followed by a Q&A session with Frank and CFO, Ian Smith. Please remember to dial in to the teleconference to ask questions. With that, I'll leave the stage to our CEO, Frank Vang-Jensen.
Frank Vang-Jensen: Good morning. Today, we have published our results for the fourth quarter and full year of 2024. We achieved strong results in 2024. Nordea is resilient, highly profitable and growing. The past year has a reminded us of how unpredictable the world can be geopolitical tensions have become part of our everyday reality, including here in the Nordics. The good news is that inflation has fallen back towards central banks, target levels and policy interest rates are coming down from the peak. This has brought some welcome relief to households and businesses in our region. There are also signs that economic activity is picking up and the Nordics may be turning a corner. At Nordea, we have stayed focused on what matters most delivering on our priorities and fulfilling our role as a strong and resilient partner for customers, shareholders and society. That strength and resilience was evident in our financial results for 2024. We grew our business with full year income up 3% and at 16.7%, full year return on equity exceeded 16% for the second year in a row. Our sustained high profitability reflects the considerable progress we have made since our repositioning in 2019. Supported by our strategic investments, we have grown the business, driven sustainable efficiencies improved customer experience and strengthen our franchise. Customer satisfaction is also up across the board. We are on the right path and I was pleased to see us continue our good performance in the fourth quarter. Looking at some of the highlights for the Q4. Total income was up 1% year-on-year. The increase was driven by an 8% increase in net fee and commission income and higher net insurance and net fair value results. Net interest income was resilient in a declining rate environment down only 5%. Operating profit was up 4% at EUR1.5 billion. Our return on equity was 14.3% compared with 14.1% in Q4 2023 and impacted by usual seasonality. Lending and deposit volumes were both up, supported by our acquisition of Danske Bank's Norwegian, personal customer and private banking business, which we successfully completed during the quarter. Mortgage lending grew by 6% year-on-year. Corporate lending was up 1%. Retail deposit volumes increased by 5%, while corporate was up 8%, Asset Under Management continue to grow, increasing by 11% in the quarter. Cost development in line with our operating plan, our cost-to-income ratio with amortized resolution fees was 48.9%, improving from 50.6% a year earlier. Credit quality remains solid, net loan losses were EUR54 million or 6 basis points. Capital generation was strong in the quarter. We ended with our CET1 ratio at 15.8%, which is 2.2 percentage points above the current regulatory requirement. Our results and robust capital position supports strong returns for Nordea's shareholders. And today, our Board of Directors has proposed a dividend of EUR0.94 per share for 2024, an increase of 2 percentage points compared with 2023. We are targeting a continued market-leading performance in the year ahead. We expect full year 2025 return on equity to stay above 15%. With that summary, let's now take a closer look at the results, starting with the income lines. Net interest income decreased by 5% compared with the strong Q4 of 2023, driven by lower deposit margins. This was in line with our expectations in the current rate environment, which saw rates decline at a slightly faster pace towards the end of the year. The decrease was partly offset by higher household lending margins and higher deposit volumes as well as the acquisition in Norway. We also had a positive impact from our deposit hedging activity of EUR36 million quarter-on-quarter and EUR89 million compared with Q4 2023. Our deposit hedges are designed to support our net interest income as rates decline. Our net interest margin for the quarter was 1.73% compared with 1.83% a year ago. With rates coming down, we expect some increased activity in the lending markets, and there were signs of that during Q4. We increased mortgage lending by 6% year-on-year with growth of 1%, excluding the acquisition. The corporate lending market also improved and we increased volumes by 1% year-on-year. Deposit growth was strong with retail deposits up 5% and corporate deposits up 8%. Net fee and commission income was strong, growing by 8% year-on-year. Throughout 2024, our customers focused on strengthening their financial well-being leading to strong demand for our savings and investment products, and we saw this trend continue during Q4. We also had higher activity in cards and payments. Savings fee income was supported by higher assets under management, which grew by 11% year-on-year to EUR422 billion. Net flows were strongly positive amounting to EUR8.5 billion. In Nordic channels, those were EUR6.1 billion following a strong performance in Private Banking and our Life and Pension business. After some quarters with negative flows in the international channels, we saw a momentum shift in Q4. We returned to positive net flows of EUR2.4 billion, driven by several large new mandates. Brokerage and advisory fee income was stable year-on-year. Net fair value result was up 31% year-on-year. Customer activity was high, especially in interest rate and foreign exchange hedging products. Market Making was negative following high volatility in connection with the U.S. election. Costs were up 1% year-on-year, in line with our plan. The increase was mainly driven by the strategic investments we are making into, for example, technology, data and AI, digital services and risk management. We also had high levels of business activity in the quarter. As you know, in recent years, we have stepped up our investments in technology and non-financial risk areas such as financial crime prevention and cyber security. The key aim for these investments is to build a stronger and even more resilient bank and unlock the benefits of our Nordic scale, better customer experience, more business growth and increased efficiency. Following a planned step-up in 2024, our investments have now stabilized. Consequently, for full year 2025, we anticipate modest cost growth of about 2% to 2.5%. In the fourth quarter, our cost-to-income ratio with amortized resolution fees was 48.9% compared with 50.6% a year earlier. Nordic households and businesses have felt more pressure on their finances in recent years. However, our customers have maintained stable financial positions. We have seen this in our continued low credit losses and strong credit quality. Q4 net loan losses and similar net results was EUR54 million or 6 basis points, well below the long-term average. Similar to previous quarters, the losses were driven by a small number of individual corporates from different industries. We continued to reduce our management judgment buffer releasing EUR21 million during the quarter. The buffer now stands at EUR414 million in local currencies compared with EUR435 million in Q3. Our capital generation and our capital position continue to be very strong. The CET1 ratio stood at 15.8% at the end of the quarter, 2.2 percentage points above our capital requirement. This was unchanged from Q3 as the impact of the Norwegian acquisition and share buybacks were offset by strong capital generation. We will continue to deploy capital to drive growth and return excess capital through share buybacks. As we have said previously, our aim is to trim excess capital by executing smaller and more frequent buyback programs, enabled by our strong capital generation. The current program will end no later than the 28th of February, and we are already in close dialogue with the ECB about the next buyback. Following the strong year, our Board of Directors has proposed a dividend of EUR0.94 per share for 2024 compared with EUR0.92 per share for 2023. Our four business areas, all performed well in Q4. In Personal Banking, we drove solid business volumes, supported by good levels of customer activity, especially in savings and investments. Deposit volumes were up 5% year-on-year in local currencies. Mortgage Lending also grew and was up 5%. Our strong volume development included the acquisition of Danske Bank's Personal Banking business in Norway. The acquisition is a significant step forward for our business in Norway and has boosted our market share from 11% to around 15%. We have welcomed more than 235,000 new customers to Nordea. We look forward to serving them with our wide range of financial services driving ancillary growth. The acquisition has also demonstrated our proven ability to successfully integrate large-scale businesses. In recent years, we have made several key bolt-on acquisitions to help us accelerate our growth in Life Insurance, Pension and Personal and Private Banking. Our primary focus is to grow organically, but we will continue to target attractive bolt-on opportunities. During the quarter, we saw further signs that the Nordic mortgage markets are beginning to gradually recover after a couple of slow years. Demand for loan promises has increased for consecutive quarters. Customer use of our digital channels remains high, and in Q4, we saw the number of digital active customers pass 5 million for the first time. Mobile users and log-ins both grew by 7% year-on-year. We are continuously expanding our digital offering with the aim of providing an outstanding personalized customer experience. By the end of this year, we aim for all everyday personal banking needs to be met by our digital services, and we are on track to achieving that. During Q4, we were also proud to see Nordea named Sweden's Bank of the Year for the first time by Privata Affarer, a leading national financial publication. Five years ago, we launched a long-term strategic initiative to strengthen our position in the Swedish market. Since then, we have made great progress, gained more business and market shares. Total income decreased by 1% due to the lower net interest income. This was partly offset by higher savings income and higher payment and card fee income. Return on allocated equity was 15% compared with 16% a year earlier. The cost-to-income ratio was 54%, an improvement from 57%. In Business Banking, customer activity held up well and this supported solid business volumes. Declining interest rates and falling inflation have provided some relief to SMEs, even if the overall environment has remained challenging. During the quarter, deposit volumes increased by 4% year-on-year in local currencies. Lending volumes also grew by 1%, and we help more customers secure funding through the bond market. During 2024, we continued to invest in improving customer experience. As part of that effort, we have increased the availability of Nordea business center advisers for our small corporate customers. And in Q4, we achieved further improvements in call resolution rates and waiting times. We also finished onboarding customers in Norway to Nordea business and thereby completing the Nordic rollout of our digital banking platform. This is very much part of our broader effort to standardize our services and systems across our markets. Total income for Q4 was down 3% year-on-year, driven by lower net interest income, this was partly offset by higher income from savings, payments and cards and debt capital markets. Return on allocated equity was 15%, while the cost-to-income ratio was 43%, an improvement from 45% a year ago. In Large Corporates & Institutions, overall customer activity was at a good level, supporting growth in both deposits and lending. The uncertain macroeconomic environment was seen in muted loan market demand during Q4, although we increased our lending volumes by 1% year-on-year. Deposit volumes were up 12%, in investment banking and equities, we again delivered a strong performance and maintained our number one Nordic equity capital markets ranking. Debt capital markets activity remained high and was well diversified across the credit spectrum and currencies. During Q4, we arranged over 100 transactions, bringing the total for the year to more than 600. Net interest income was down 7% year-on-year, reflecting the impact of lower interest rates. The decrease was partly offset by the higher business volumes. Customer activity overall remained high, exceeding the level seen in Q4 2023. We saw robust demand for hedging products driven by both market volatility and event-driven transactions. Market Making was negative for the quarter. Total income was also down 7%, while return on allocated equity was 15% compared with 16% and a year ago. The cost-to-income ratio was 41% compared with 40% a year ago. In Asset and Wealth Management, we finished the year on a strong note. We continued positive momentum in our Private Banking business. In 2024, we grew in private banking strongly in all home markets, supported by strong customer relationships and the onboarding of new customers. Nordic net flows were very strong at EUR6.1 billion for the quarter. Asset Under Management grew 11% year-on-year, bringing the total to EUR422 billion. Net flows followed an increasing positive trend throughout 2024. This reflected both growing confidence among clients and effective business execution. In international channels, we were back to generating positive strong flows. During the quarter, we managed to win several large mandates for our global and European equity strategies. Total net flow was EUR2.4 billion. Our very good performance as an asset and wealth manager is well recognized. Nordea is a Nordic number one for overall performance in the latest Prospera survey. We were also recognized as the best private bank both in Sweden and in the Nordics overall in Professional Wealth Management's annual awards. Performance in our Life Insurance and Pension business was solid with gross written premiums reaching EUR3.1 billion compared with EUR2.3 billion a year ago. For 2024 as a whole, premiums totaled nearly EUR12 billion, up 36% from a year earlier, demonstrating our strong expansion in this market. Total income was up 14%, driven by higher assets under management and higher net insurance result. Return on allocated equity was 32%, up from 27% a year earlier. The cost-to-income ratio improved by 11 percentage points to 45%. In summary, this was another strong quarter, rounding off another successful year for Nordea. I'm grateful to our employees for their hard work and dedication throughout the year. I would also like to thank our customers and shareholders for their continued support and cooperation. We enter 2025 as one of the top-performing universal banks in Europe, targeting further strong financial performance. We expect our full year 2025 return on equity to stay above 15%. Much of Nordea's strength and resilience today is built on the foundations we started laying five years ago. Since then, we have made significant progress in key priority areas. Our profitability has reached a new higher level driven by lasting operational efficiencies and supported by our well-diversified business model. To build on this progress, we have recently refined our setup including forming a dedicated group technology unit to accelerate our technology data and AI efforts. We have also just strengthened our group leadership team with four key appointments. I'm very happy about the strong team we have assembled. My colleagues and I will drive Nordea's next phase of development with energy, determination and very high ambition. We are now in the final year of our current strategy period. Later this year, we will provide an update on our strategy for the next phase, 2026 and beyond. This will emphasize continuity with our current strategy, building on the successful development of recent years. We will host the Capital Markets Day where we will share the concrete steps we are taking to: one, outgrow the market; two, continue delivering market-leading return on equity; and three, deliver superior earnings per share growth. Our growth plans will be built on both organic growth opportunities and Nordic bolt-on acquisitions to further drive growth. To take Nordea to the next level, we will also leverage competitive advantages that are uniquely ours, the power of our Nordic scale. All the past five years, we have simplified our structure, cutting through the complexity of operating four businesses across four countries. Now we are entering a new era focused on turning our scale into a clear competitive edge. One that enables us to deliver the best customer experiences, and one that is an engine for growth, cost efficiency and long-term value creation. This is an exciting time for Nordea, at our Capital Markets Day, we will show how we are positioning ourselves to make the most of the opportunities ahead. And in the meantime, we will continue to build on the strong momentum we have achieved so far. Thank you.
Ilkka Ottoila: We're now ready for Q&A. And as a courtesy of others on the call, could you please limit yourself to two questions maximum. Operator, please go ahead.
Operator: [Operator Instructions] The next question comes from Magnus Andersson from ABG SC. Please go ahead.
Magnus Andersson: Yes. Hi. Two questions. First of all, on capital. You stated there you are in talks with ECB about another share buyback program, although you have one month left of the current one, which is good. But I was just wondering, when do you intend to be at your 150 basis point management buffer. You are still quite significantly above that, for how long really do you think you will remain in this position? And secondly, just on costs there and the cost guidance, how we should think about the headcount outlook, whether there are any synergies to be realized from the acquisition you made in Norway, for example? That's my two questions.
Ian Smith: Magnus, it's Ian here. So as you pointed out, we have, I think, a healthy margin to our management buffer requirement. I think realistically, we're always going to be a little bit above that, just the sort of puts and takes of managing the capital position quarter-on-quarter. But you can be assured that we're always keeping an eye on our strong capital generation. And as we've said quite often, when we don't have the opportunity to deploy that for growth, we look closely giving it back to shareholders. So we'll continue to work at that. We don't have a particular timetable in mind. But Nordea will not sit on high levels of excess capital. And then on headcount and FTE and particularly the context of cost guidance. We have grown our FTE over the last year or two, particularly in the areas of technology, where we have invested heavily and in financial crime prevention where we've increased our resources substantially. The Norway acquisition brought around 300 new colleagues and our view is that, obviously, our strict cost control depends on managing our FTE count very tightly. I think we do have opportunities. First of all, we have said that our -- the pace of our investments, the scale of our investments has leveled off. We do see opportunities using technology and particularly exploring some interesting opportunities around AI to manage down the resources in financial crime prevention. I think that's a choice area for automation. And then in terms of Norway, one of the real attractions of that transaction was we brought over the number of people that are needed to service the customers. So the big opportunities for us, I think, are to continue to manage the pace of our investment and as we've indicated, we don't expect to see significant increases from here and then deliver efficiencies through technology and financial crime prevention is a key area for that.
Magnus Andersson: Okay. Thank you very much.
Operator: The next question comes from Andreas Hakansson from SEB. Please go ahead.
Andreas Hakansson: First question, if I look on the divisions, the loan losses actually moved up quite sharply in Retail Banking, Finland and also Business Banking in Denmark and could you tell us a little bit about was it anything in particular in Denmark, did we see any green projects that causes problem or what's driving that? That's my first question.
Ian Smith: I’ll will take and -- then. Yeah. So good morning, Andreas, I guess, in Personal Banking in Finland tends to be overall, on average, a little higher than other places, we have a broader mix of lending in Finland, nothing untoward going on in there. And in Business Banking in Denmark, as we say, Business Banking is the area where we have seen a small handful of individual provisions. They relate to very particular circumstances, a small number of customers, and they're quite specific. And in Denmark, that's been the case. It isn't related to green or renewable or other things. It's normal course of business. And in a couple of situations where we've had the customer circumstances deteriorate. So nothing particular to note there.
Andreas Hakansson: Okay. And then if I look at your -- I'm looking at Slide 20 where you give us some color on your hedge. And you had a meeting -- a public meeting on December 20, when you gave some guidance or steering to the NII of 2025. Could you maybe help us a little bit with outlook for NII. And I read on the bottom of Page 20, is it correct that you assume that Finnish rates are going to be 2.25% by the end of 2025. So do you expect ECB to stop at 2.25%? I mean we expect 1.5%. So just clarify that.
Ian Smith: Yeah. So sure. And I think making sure we're clear on NII outlook is really important. Your very specific question on the rate. We don't try to guess the market. I think the latest reading on market expectations was 2.25%. And I know that there are some people that speculate could it be lower than that. Let's see. We're taking a market implied rate, and we see that at 2.25%. So '25 NII. I guess we've updated our NII sensitivity disclosures, given a little bit more detail around the hedge. And hopefully, you can see now the strong support that the hedge will give us in 2025 and particularly relative to peers. But the main thing that's going to impact, obviously, is rate path. And I guess our disclosed sensitivity says that around 100 basis points reduction in average Nordic policy rates will probably have a gross impact of EUR600million to EUR700 million on NII. And I think that expectation holds, and that's really the starting point when you're thinking about development of NII next year. The other things that play into the mix, obviously, are volumes, competition, margins, those kinds of things. And to remind you of a couple of specific Nordea items, we have a hedge, obviously, and we also have a positive impact from the acquisition in Norway that will help support NII. But I think those are the key moving parts in terms of just thinking about development for next year. I have to say, just looking at the various estimates and things like that, there's probably a couple of outliers in consensus expectations. But I think generally, people are understanding that the front-loading of rate cuts and in particular, we expect to see another couple coming through in Q1. So probably a similar rate impact and deposit margin impact to what we saw in Q4. People are generally, I think, getting to the right place, as I say, with a couple of outliers. But that's the overall picture for '25 NII.
Andreas Hakansson: That's perfect. Just following up on what you said there that Norway is helping you. Is it fair to say that the Norwegian loan book that actually came over finally was a bit smaller than you expected in the beginning?
Ian Smith: Yes, it was. We saw quite a lot of aggressive competition driving churn in the first nine months of 2024 when it was under the seller's stewardship. So it was a little bit smaller than we had anticipated. But I think the bright spots there are that the customers that moved were very low margin. We're really happy with the 235,000 customers that have joined Nordea. And I think that's a really strong start to the year for our business in Norway.
Andreas Hakansson: Perfect. Thank you.
Frank Vang-Jensen: And of course, just to add, Andreas, a big upside dressing up the customers with all their needs, right? It's to some extent, sort of like monoline business. And the work is ongoing now to really make them or change them to be relationship customers.
Andreas Hakansson: No, it was quite monoline when it was at Danske for sure. Thanks.
Operator: The next question comes from Namita Samtani from Barclays. Please go ahead.
Namita Samtani: Good morning, and thanks for taking my question. My first question is, which part of the Nordea franchise do you think is struggling and what are you doing to fix it?
Frank Vang-Jensen: So I don't think – good morning, it's Frank. So I don't think that we have any business that is directly struggling, but remember, we have four business areas, four countries. And then we have two Nordic businesses, one that is called Private Equity and Institutions and then one that is our Asset Management International business. So 18 businesses. If we focus on the Nordic parts and exclude the Private Equity and the International Asset Management, they are all doing well. I think the key question is about how well are they growing? And some are growing very, very fine, outgrowing the market. Sweden is such an area where we are doing very well. I'm very pleased with the core businesses that we have there. And then there would be some others that are a little bit too slow on growth. And for that, we have, of course, close discussions with both the business area head and the country leading that business. So I do think that we do very much understand where we want to speed up somewhat. And where we are having good progress and good speed, it's just about supporting them to do even better. So yes, I think that will be my general question. But of course, needless to say, there are two countries in which we have subscale to rest of the Nordics and that is in Norway and in Sweden. And there's no reason for why we should not become significantly bigger over time. It just takes time. Then we have a 30% market share in Finland. And here it's more about defending and then refining continuously the business and growing where we can. And then Denmark is -- it's a balance, I would say, it's -- we expect a good growth, strong growth within private banking. We are strong within LC&I. We are probably losing a little bit on the front book market share within the two sort of like more broad businesses, but our ambition is to change that over time.
Namita Samtani: Thank you. And my second question, I just wanted to ask on the risk-weighted assets. So consensus has been growing 8% in 2026 versus the 2024 reported number. I know there's Basel IV, but doesn't that seem like quite a lot of growth considering you might also get some offset from the corporate model or as the thinking on that changed?
Ian Smith: Good morning, Namita. No change in thinking on our corporate models. At the moment, we're assuming no benefits and let's see what happens. The application is on schedule for a submission next year, and we should hear some news later in '26 on that. So in terms of the drivers of real inflation, you've really only got two things that are in there. First is the impact of Basel IV, which we've previously disclosed and then volume growth. It may be that the market is thinking about timing of some of the real reductions that we would expect to see from making improvements in our retail models, the ones we talked about before. But we can certainly look into that in a bit more detail and come back to you on it. But no, the key contributors that people should be thinking about are some small inflation from the implementation of Basel IV and just general volume growth.
Namita Samtani: That’s helpful. Thanks very much.
Operator: The next question comes from Hari Sivakumaran from KBW. Please go ahead.
Hari Sivakumaran: Hi, there. I've got two questions on Slide 20, the rate sensitivity. I can see you're using a power shift assumption in the rate sensitive. I'm wondering, just because it's possible for the first time in a while that we may actually have a steeper yield curve and a higher long end, how might that impact the sensitivity? I imagine it's helpful for the deposit hedge. Maybe year one is too early, but possibly for years two to three. So any color on that would be helpful. And then my second question is just on the country allocation of the deposit hedge. How are you doing that? Is that related to the retail transaction accounts? So any help with that would be great.
Ian Smith: Good morning, Hari. So first of all, in terms of yield curve steepening, I think broadly, that's a welcome development. It sort of indicates the people's expectations are that things might normalize somewhat, which I think is welcome. Overall, in our core business, we don't expect to see much impact. Quite a lot of our businesses is swapped to short-term rates anyway. And so as you point out, I think where you might see some small benefit is in the deposit hedge and how that rolls. But broadly speaking, we're not expecting a dramatic impact or benefit in the core business. And yes, you're right. The -- I mean, the way we create manage our deposit hedge is driven by the shape of the deposit books in each of the countries. And so we thought it would be helpful to provide some additional disclosure on the balance of that. First of all, I think to show that we're relatively stable over time. We've always said that the deposit hedges are principally a risk management tool, and we don't play tunes on it. And then if you look at the distribution, you will see that, for example, the smallest volumes relate to Norway, where we have the lowest proportion of transaction account balances in the deposit base and the highest, the opposite of that is in Finland, where we have the strongest contribution from transaction accounts in the deposit mix. So that's really what accounts for the currency shape of the hedge. And I hope it's helpful that we've given a bit more information this time.
Hari Sivakumaran: Thanks.
Operator: The next question comes from Riccardo Rovere from Mediobanca. Please go ahead.
Riccardo Rovere: Thanks. Thanks for taking my questions and good morning, everybody. On loan growth, the volumes across the group seems to be fairly stable over the past few quarters aside from the acquisitions in Norway. Is there any particular rate level that you think could fuel again, loan growth, 2% or whatever number you may have in mind? And how is your thinking about the potential threats of U.S. reducing tariffs across the board? This is my first question. And the second question I have is, is there any area of the group where you think you might eventually be, if I may say, subscale that you would love to get bigger than you are today? Thanks.
Frank Vang-Jensen: Should I start, Ian? So hi, and good morning. It's Frank speaking. So I think it's difficult to say exactly what the rate levels -- what rate level would trigger an accelerated or significant accelerated speed on the lending or the volume growth in the market. But what we are seeing now is that it is building up. So we see for the third consecutive quarter, we see, for example, within mortgages, that the number of loan applications where you are asking for a loan commitment buying a new home is increasing. And there are -- there is more activity in the markets, and we do see a pickup here in the last part of the year. So we are seeing an adjustment now the relief coming from lower inflation, lower Central Bank rates is starting to help customers and privates and corporates. So I would say that I would be very surprised if the growth will not come up this year. And it actually looks from a sort of fundamental economic perspective, it looks quite promising. Then we do have the uncertainty driven by the geopolitical tensions that we do see across the world. And that is, of course, a drag on sort of confidence and how that interlink and how it will play out is very difficult to forecast. But I'm confident at least that the growth will increase, the activity in the market will increase. There will be a lot of need for investments, and no matter it's more defensive or more sort of like proactive driven initiatives. And we are just in the middle of it and are very well positioned. So overall, I think we are clearly the strongest across the Nordics in most markets. Then when there's no growth, there is also a very harsh competition on the limited growth in the market, and that is what you have been seeing through this year. We could create more growth on volumes and thereby income tomorrow, if wanted. But then you will jeopardize some of our profitability. So it is about not doing too many in our way, view short-term stupid decisions as it will just have a negative or adverse impact on our returns. So it is a continuous balance, and I think we have that balance fine. I would like to grow a bit more, and I think that we will show you that will happen this year. So honestly, we want to be bigger in Norway. We want to be bigger in Sweden. We want to be bigger in Denmark. And in Finland, it is about organic growth primarily as we are a 30% market share bank. So it is difficult for us to get support to acquisitions. But sort of like we have so much more upside, and we will deliver on that one. And we know where it should be delivered, and we know how it should be delivered. And we are basically in -- quite far in the plans on how to do it. What was the last question you asked? That was about how trade tariffs will potentially impact the companies and thereby, I guess, Nordea, that's a very tricky question. And I was -- I don't think we have a very firm answer to that. And I think the ones that say that they have it are sort of like are wrong as it's a very complicated question. So I think I will say that the Nordics are open economies. We have been used -- our companies, our corporates have been used to find their ways, being agile, adjust. And the reasons for that is that the home countries or home markets are very limited size-wise. But yet, we are still -- we have built very successful large corporates and of course, some of them will get some sort of like headwind -- immediate headwind if there are heavy tariffs sort of like put on sort of like, Europe. But on the other hand, it's not that we don't do anything. It's not that we find our way forward. It's not about Europe starts to wake up now and of course, don't want to be played around with by U.S. So I must say that when you look at the path, when you look at sort of the wake-up call Europe has gotten, when you look at the strength of the Nordic corporates and the Nordic economies, we will come through this in a nice way. Will it take a lot of sort of like brain resources and think through? Yes. But the Nordics are much, much stronger than many believes. It's just look at the data.
Riccardo Rovere: Thanks. Thanks, Frank. Just a quick follow-up, if I may. Do tariffs or a tariff scenario have any -- or are they somehow embedded in any of your expected loss PDs and GDs and things like that at the moment in your internal models?
Ian Smith: No. I mean our internal models, Riccardo, are driven by sort of broad macro parameters. So to the extent that those change and are driven by actions such as tariffs and other things, obviously, then they would find their way into models and model assessments that way. So I think it's implicit. But what we do is certainly seek to understand where our customers are exposed and what's happening on a macro basis. But as Frank's highlighted, it's really quite difficult to know what might be done, what the response might be and how that feeds through. So very difficult to call at the moment. So it comes through into our various models indirectly through the different parameters, and then we look at scenarios.
Frank Vang-Jensen: But that's not really a scenario right now that looks like a very big problem. So of course, it will be problematic, but I guess that goes for all, but nothing that really concerns us, honestly.
Riccardo Rovere: Thanks. Thank you. That’s very clear. Thanks.
Operator: The next question comes from Martin Ekstedt from Handelsbanken. Please go ahead.
Martin Ekstedt: Hi, and thank you for taking my questions. So just following up on Andreas's question on the acquisition of Danske's Norwegian business. And just to put some numbers on this. So Page 11 in the presentation states that you have a EUR2.2 billion increase in RWA mainly due to the Norwegian acquisition. But Danske, I believe, initially announced what equates to roughly EUR5 billion of RWA being in scope. So some of these effects in between here due to differences in risk-weighting approaches, etc., or is this all customer-driven, i.e., in excess of 50% of the volume disappeared between signing and closing? That was my first question. Thank you.
Ian Smith: So, good morning, Martin. I don't know, I mean, I haven't paid close attention to Danske's disclosures on this, but I suspect that there was substantial volume attrition, which may well account for part of that difference in REA. We've also seen a small increase in risk weights across the board in Norway for retail business that drives where we mark our portfolio. So I suspect the answer is in whatever happened in Danske rather than anything else.
Martin Ekstedt: Okay. And then secondly, if I could linger in Norway a little bit, please. So you mentioned this acquisition as being supportive of NII in Norway. going forward. If I look at the Personal Banking segment in Norway, NII is down 15% on Q2 and 8% on Q3, I believe. And if I look at a close large cap banking peer in Norway, they don't seem to see the same dynamic at the moment at least for Q3. Does this come down to differences in funding mix or is it more around customer behavior in Norway? And then how helpful do you think the acquisition that you did for Danske business now will be in the near term and stabilizing this development? Thank you.
Ian Smith: So there's a couple of things that might make us look slightly different to some of our peers. One is that, as you've highlighted, funding mix that has a bit of an impact on margin. We've also seen some fairly aggressive back in Q3, this was activity in the market from some of the savings banks that also put some pressure on margins. And then there is a specific item in our business in Q4. We took into consideration an increase in deposit guarantee fees that came from the higher deposit portfolio that came through with the acquisition. And that was a headwind in Q4 that won't reappear in Norway. So look, overall, we've increased our market share in mortgages from 11% to 15%. We will see a very helpful contribution to NII in Norway from the acquisition. And as Frank said earlier, these were monoline customers in Danske, partly because Danske didn't have the capacity to offer the full range of products and also there were restrictions under the union distribution agreement. That union distribution agreement is no longer in place. We have full access to the customer base, and we can provide the full range of Nordea products. So that's what makes it really interesting for us.
Martin Ekstedt: Great. Thank you very much.
Operator: The next question comes from Shrey Srivastava from Citi. Please go ahead.
Shrey Srivastava: Hi. Good morning and thank you for taking my questions. My first one, and apologies if you covered this earlier, I joined a bit late. How much of the EUR24 million quarter-on-quarter treasury gains is one-off? And could you like size this up to other one-off impacts in the quarter, including the Norwegian what you just mentioned? Thanks.
Ian Smith: So Q4 NII came in a little bit stronger than anticipated, both in terms of what Nordea expected, but also in relative terms. Part of that was we saw some short-term funding benefits coming through on the treasury side. We don't think of those as part of the run rate going forward. So I wouldn't be baking them into Q1 expectations in any way. In terms of other one-offs and things, we mentioned the Norway deposit guarantee fee. Nothing else really in there. We saw policy rates coming down. So average policy rates are around 40 basis points lower. With current expectations on rate cuts, I think you'll see something similar in Q1. And we saw some benefit from volumes. We had good deposit growth as well as the impact of the Norway acquisition. So fundamentally, I think the treasury performance, short-term funding benefits, we don't see that as part of the run rate.
Shrey Srivastava: Understood. Thank you. And my second question, a bit more conceptual. Has the change in the UniCredit total credit agreement in Denmark affected your possibility to look at M&A opportunities in the region?
Frank Vang-Jensen: Not specifically, I think we have always had the ambition to add growth to our organic growth through buybacks or through bolt-on acquisitions. And I think we have done in average once a year. Denmark is an interesting country. It's still interesting. We are running a very sort of like solid, well-performing profitable business. And if something come for sales, as I have been saying previously also Public, we're, of course, interested in acquisitions in Denmark as well. So -- and bolt-on acquisitions would be a tool that we will continue to use.
Shrey Srivastava: Understood. Thank you very much.
Ilkka Ottoila: Thanks. And operator, we'll take the last question now. Thank you.
Operator: The next question comes from Bettina Thurner from BNP Paribas. Please go ahead.
Bettina Thurner: Yeah. Hi. Good morning and thanks for taking my question. I had two quick ones on -- one on the structural hedge. Thanks a lot for the new disclosure. It's really helpful. I just wondered on the impact that you show for '25 and '26 for the help that you get from the deposit hedge. If rate cuts would come in faster than expected, how much of a change would that be to that sensitivity, not in numbers, but just to give a feeling whether quite a lot of your structural hedge is maybe at the shorter end of the curve allocated? And then on the second question on M&A, I was just interested whether you -- the areas that you have in mind for bolt-on acquisitions are the ones that you highlighted as maybe being slower growing or whether you just look at everything that comes to the table at the moment? Thank you.
Frank Vang-Jensen: Ian, take the first one, and then I'll take the second one, please.
Ian Smith: Good morning, Bettina, I don't think you'd see a dramatic change in hedge support or development. Perhaps at the margin, if we saw faster rate cuts, you might see a little bit of a pull forward of the benefit, but nothing dramatic. The hedge volumes are reasonably evenly distributed. So nothing to look out for there.
Frank Vang-Jensen: And on the M&A, I would say that's quite obvious, as I mentioned. So we want -- we are positive to M&A, bolt-on M&As, meaning not transforming our business, but doing it even stronger and bigger across the Nordics in all countries. It's just that in Finland, where we have a very high market share, it is more difficult for antitrust reasons or to get a support for that. But there are still areas in which we can strengthen and grow inorganically. Else it would be retail, what will strengthen our business and make it even bigger within retail across the board will be interesting to look into. It is wealth, private wealth, meaning private banking, and wealth in general. It is Life and Pension in which we have grown latest in Denmark, acquiring Topdanmark Life and now Nordea Pension. And then there would be in the SME business, but with a very firm eye on the risk's profile, the current or the business we might acquire is run. So the other ones are much easier from a risk perspective. Corporate can be strong. It can be very helpful, but it also brings a higher risk. And we don't want to jeopardize the risk level, the low risk level of Nordea. So I would say that there is actually a massive upside, but of course, that needs to tango. And we do know who we would like to dance with.
Bettina Thurner: Perfect. That’s very clear. Thank you.
Frank Vang-Jensen: All right. Thank you so much for great questions and a good dialogue. And as you understand, we think that we have a very strong start or entrance to the year. And later this year, we will update you on our strategic update at the Capital Markets Day. And there is really about trying to make you understand what are the levers and what are the plans and how do we want to do it. And we are very firm there, delivering superior financial results, high sustainable return, superior earnings per share growth and really making our Nordic scale give a boost to our efficiency, but also to our customer experiences. So it's going to be very interesting. And up until then, we will continue to deliver very strong results. Thank you so much, and talk to you later. Thank you.